Operator: Greetings, and welcome to the Dynamic Materials Corporation 2012 Fourth Quarter Conference Call. At this time, all participants are in a listen-only-mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Geoff High, Investor Relations for Dynamic Materials Corporation. Thank you. Sir, you may now begin.
Geoff High: Thank you, Roya. Good afternoon, and welcome to Dynamic Materials’ Fourth Quarter Conference Call. Presenting on behalf of the company will be President and CEO, Yvon Cariou; Chief Operating Officer and incoming CEO, Kevin Longe; and Senior Vice President and Chief Financial Officer, Rick Santa. I’d like to remind everyone that the matters discussed during this call may include forward-looking statements that are based on management’s estimates, projections and assumptions as of today’s date and are subject to risks and uncertainties that are disclosed in Dynamic Materials filings with the Securities and Exchange Commission. The company’s business is subject to certain risks that could cause actual results to differ materially from those anticipated in its forward-looking statements. Dynamic Materials assumes no obligation to update forward-looking statements that become untrue because of subsequent events. A webcast replay of today’s call will be available at dynamicmaterials.com after the call. In addition, a telephone replay will be made available beginning approximately two hours after the conclusion of the call. Details for listening to today’s replay and webcast are available in today’s news release. And so with that, I will now turn the call over to you Yvon Cariou. Yvon?
Yvon Cariou: Thanks, Geoff. And thanks to all of you who have joined us for our review of our fourth quarter on full fiscal year. This is being my last conference call. I just want to thank all of you, again, for your continued interest in our story. I also want to thank you for your patience with my speaking impediment. I hope I do little better today. We accomplished a great deal during 2012. And I believe our efforts of further function [ph] and extended the company’s [inaudible] for long term system. We spent much of 2012 solidifying our foundation as we prepare for the next chapter in the DMC [inaudible]. During the year we added some very talented leaders to the management teams of all three business segments. We established a physical presence in South Korea as part of our Asia expansion strategy. We may probably expanding our presence in China. We command construction on our new [inaudible] in Russia and North America. And we brought into customer-based and end-markets [inaudible]. Of course our most important accomplishment was a completion of our sales for DMC’s next chief executive officer. As most of you know, I will retire Friday after 13 years as DMC’s CEO and Kevin Longe will [inaudible] will take the leadership order for the company. I have worked closely with Kevin during the past eight months and could not be more pleased with or confident in our selection. I will now turn the call over to Kevin for some remarks about the business and the opportunities we are pursuing. Kevin.
Kevin Longe: Thanks, Yvon, and good afternoon everyone. I want to start by saying at a very reassuring depth such as strong vote of confidence from Yvon and the Board of Directors. I’m very excited about leading the DMC team and pursuing the many opportunities we see on the horizon. As Yvon noted, we’ve been working during the past year to strengthen our corporate structure and enhance the sales earnings and cash generation performance of our three businesses. We’ve also established a number of near-term operational initiatives. And during the coming year, efforts will be directed squarely behind the execution of these projects. They include capturing some of the sizeable contract opportunities are Nobelclad businesses pursuing. Completing the construction of DYNAenergetics, shaped charge facility in Texas and advancing the build-out of our new plant in Siberia, strengthening DYNAenergetics’ product and inventory management program and expanding our sales and marketing presence in China and increasing our market share throughout Asia. Although capital spending in several industrial markets we serve was relatively weak during 2012, we anticipate improvements during the coming year. As I mentioned earlier, Nobelclad is pursuing some large industrial infrastructure projects particularly in the upstream, energy and petrochemical factors, and these projects appear to be nearing the execution space. At DYNAenergetics, our sales team is reporting signs of improving demand across several of the regions we [inaudible]. In North America where appears the study decline in the reg counts is abated, we soon will recognize the cost and distribution benefits of having our own regional source of shape charge production. Looking further out, we believe there are opportunities to accelerate the growth to the company both organically and through potential strategic acquisitions. We have established a strong presence at various segments of the global energy, infrastructure and industrial markets and believe DMC represents an ideal platform on which to add complimentary, technical niche businesses. The execution of the strategy is obviously a long-term process. It also as an objective we are taking seriously, the one we will actively pursue as the year unfolds. I’ll now turn the call over to Rick for a review of our fourth quarter financial performance. Rick.
Rick Santa: Thanks, Kevin, and good afternoon everyone. Sales on the fourth quarter came in at $52.5 million; it was down 3% in the fourth quarter last year. This decline reflects a slight pullback in sales at Nobelclad and an 8% decline at DYNAenergetics. Sales at AMK were up 16% versus the 2011 fourth quarter. Gross margin improved to 31% from 27% in last year’s fourth quarter. And it’s above our forecast level of 29%. Operating income was $4.5 million versus $5.2 million in the fourth quarter a year ago. The decline reflects $672,000 in stock-based compensation expense related to the accelerated vesting in restricted stock awards associated with management retirements. Net income was $2.9 million or $0.21 per share versus $3.6 million or $0.27 per share in the year ago fourth quarter. Adjusted EBITDA was $9.1 million versus $8.7 million in the same quarter last year. Our full year cash flow from operating activities more than doubled to $20 million versus $9.7 million during the prior year. This increase reflects the stabilization of accounts receivable in inventory level probably to get increase in this working capital [inaudible] in 2011. Looking at expenses, G&A was $5.3 million, up from $4.5 million in the fourth quarter last year. The increase was primarily result of higher salaries and a good incentive compensation expense as well as an increase in stock-based compensation expense. Selling a distribution cost increased 21% of $4.6 million from $3.8 million in last year’s fourth quarter. This increase in part [ph] reflects the expansion of the North American sales and distribution organization at DYNAenergetics. Fourth quarter SG&A of $9.9 million was a bit higher than a prior forecast of $9.5 million. Amortization of purchased intangible assets during the fourth quarter was $1.6 million. Looking at the balance sheet, we close the year with total current assets of $100.7 million, up from $91.2 million at the end of 2011. Total assets increased of $235.4 million from $213.4 million over the same period. Our acquisition of TRX Industries added approximately $10.3 million to the 2012 total. Current liability for $24.4 million versus $29.3 million at the end of 2011, and we [inaudible] with total liabilities of $72.9 million versus $67.4 million at the end of last year. We close 2012 with working capital of approximately $76 million and the current ratio is better than 4.1 to 1. And now to guidance. Given the economic challenges impacting any of our global end-markets at the end of 2012, we are currently anticipating a relatively slow start in the fiscal year. We expect first quarter sales will be down by 7% to 10% versus last year’s first quarter sales of $50.2 million. We expect gross margin will be in a range of 27% to 28%. Also during the fourth quarter we expect to recognize a one-time expense of approximately $3 million associated with management retirement. As Kevin noted earlier, a little about [inaudible] pursuing some significant order opportunities and we are expecting a steady improvement in the year in our Oilfield product segment. We therefore forecasting that full-year sales could increase by 8% to 10% from the $201.6 million we reported in 2012. Gross margin is expected in the range of 27% to 29%. With respect to taxes, we are anticipating our blended effective tax rates for the full-year of 2013 will be in a range of 20% to 22%. The anticipated reduction versus our 2012 tax rate of 29.3% reflects the impact of certain recently enacted federal legislation that is applicable to 2012, but must be recognized in 2013 according Generally Accepted Accounting Principles. To reflect the effect of legislation, we will recognize a tax benefit of approximately $900,000 in the first quarter. Excluding the impact of the first quarter benefit, our blended effective tax rate for fiscal 2013 is expected to be in a range of 25% to 27%. We expect SG&A expense of the first quarter of approximately $12.5 million, which includes the $3 million expense associated with retirement. We expect first quarter amortization expense of approximately $1.6 million. Interest expense for the full-year is expected to be roughly $1 million. With that, we are now ready to take any questions. Roya?
Operator: Thank you. We will now be conducting a question and answer session. (Operator Instructions). Thank you. Our first question comes from the line of Ed Marshall with Sidoti & Company. Please proceed with your question.
Ed Marshall – Sidoti & Company: Yvon, enjoy your partial retirement, getting closer every day.
Yvon Cariou: Thank you very much, Ed.
Ed Marshall – Sidoti & Company: And Kevin, welcome, and Rick just so you don’t feel left out, how you’re doing the thing [ph].
Rick Santa: I am great, Ed. How are you?
Kevin Longe: Yes, thank you, Ed.
Ed Marshall – Sidoti & Company: Yes, absolutely. So you mentioned upstream [inaudible] chemical, petrochem nearing some capital project work that might be released. And I’m just curious about your quoting activity you’ve mentioned a couple times in the past. And I’m just curious as to what you maybe saw on the fourth quarter. Was there a material change? Has it stepped up, or is it just as active as it was?
Kevin Longe: I would say that it’s active as it was, but what we’re seeing are a handful of large projects on top of what was our base business previously. And why there are large projects and with that comes possibly a longer or unpredictable duration. We are seeing improved activity from a quoting standpoint.
Ed Marshall – Sidoti & Company: Cladding [ph] industry shows that there are some projects coming along. So you stand ready as basically what I hear.
Kevin Longe: Yes.
Ed Marshall – Sidoti & Company: Okay. The Oilfield products business if I could for just a minute, Rick, did you say expected to be up pretty significantly in 2013? Is that what you said in your prepared remarks?
Rick Santa: We do expect them to be up. I’m trying to go back to the remark as exactly what I did today.
Kevin Longe: But, Ed, if I could give some color on that. In the North American or the American region, the reg count was down in the second half of 2012 and we’ve seen that stabilized and necessarily tick-up yet but stabilizing. But what was changing our prospects in that market is we’ve made a number of significant investments in gun manufacturing, shaped charge manufacturing which is coming on this year and it’s reflected in our SG&A. We’re investing in sales and distribution. And we hope to benefit from that investment as well as hopefully there will be a market tick-up at some point in the near future.
Ed Marshall – Sidoti & Company: I would have thought that as you mentioned all this investment in the business and some of the CapEx and some of the slowing and the recount and so forth, I would have thought that – first of all, the quarter was relatively strong in the top line but the margin was pretty good and I would have thought the investment would have been keyed [ph] the margin just to hear [ph] that didn’t have seen [inaudible] pretty well. Is there anything that you can kind of speak to on the operating margin side that would have offset some of those other weights, would you say, on the, say, the investments and so forth in that business?
Kevin Longe: I think there’s two categories in the investments that we’re making and one is on the income statement [inaudible] right now in the sales of distribution expense and we’re trying to balance that. We’re a little bit out in front of ourselves with where we expected to be on the long-term basis but we’re trying to balance that with what the market activity is. The other categories investments that we’re making are the capital part of building the Siberian facility and also the Bronte, Texas facility and those are right now is really more balance sheet and cash flow.
Ed Marshall – Sidoti & Company: Sure.
Kevin Longe: They haven’t shown up in our income statement yet and so it’s balancing these things so that we can maintain and improve our margins as our business grows.
Ed Marshall – Sidoti & Company: Sure.
Rick Santa: And part of that improvement that I alluded to relates to the continued geographical expansion of our oil field products business and we’re actively looking at South America to establish the distribution faster [ph] in Columbia. We’re looking harder and harder at China and see some opportunities there probably longer-term not as much in 2013.
Ed Marshall – Sidoti & Company: Okay.
Rick Santa: And then as we start to manufacture the [ph] shaped charges in North America, we expect to find a home for what we manufacture. We think that there’s a lot of opportunity as the recount day light [ph], the recount, that’s only the certain piece [ph] because there’s a lot of other welcome piece activities that drives demand for our products including the reperforation of existing wells.
Ed Marshall – Sidoti & Company: So when you mentioned 8% to 10% revenue guidance [inaudible] that would – that oil field products would be the steady improver [ph] for us 2013. Is that to say that explosive welding or cladding isn’t necessarily baking in much growth into your expectations?
Kevin Longe: They are in a sense that we expect that 8% to 10% is the overall business of the clad, Nobelclad segment is a large part of our company and so we would expect to see growth from clad that is in line with that average.
Ed Marshall – Sidoti & Company: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Avinash Kant with D.A. Davidson and Company. Please proceed with your question.
Avinash Kant – D.A. Davidson and Company: Good afternoon, Yvon, Rick and Kevin.
Yvon Cariou: Hi, Avinash.
Kevin Longe: Hello, Avinash.
Rick Santa: Hey, Avinash.
Avinash Kant – D.A. Davidson and Company: Welcome, Kevin and of course, Yvon, congratulations on your new role.
Yvon Cariou: Thank you.
Avinash Kant – D.A. Davidson and Company: A few questions, so if I’m looking at the guidance with Q1 and I’m baking [ph] in all the additional costs like $3 million that you talked about, have you lose money in Q1 or in the [inaudible] business?
Rick Santa: We provided you with the sale guidance and the gross margin guidance. We provided you with the SG&A guidance. I guess we provided you [inaudible] or guidance.
Avinash Kant – D.A. Davidson and Company: Okay.
Rick Santa: So I think it depends on –
Kevin Longe: He’s just asking for one more piece.
Rick Santa: Yes. I think you have all the pieces of, Avinash.
Avinash Kant – D.A. Davidson and Company: [Inaudible] really there, that right.
Rick Santa: Yes, I mean, I think after all those charges, yes, we would expect a lot in Q1. We can’t get away from that.
Avinash Kant – D.A. Davidson and Company: Okay, okay.
Rick Santa: With now [ph] lower sales and lower gross margin that we expect [ph].
Avinash Kant – D.A. Davidson and Company: Now, if you think of the explosion clad business and the bookings that, of course, came down a little bit further. Now, would you expect – and I think this is being asked in the previous question also, that if you’re expecting something [ph] 8% to 10% growth in 2013, what kind of growth is modeled for – in the explosion clad side and how much in the oil field. And [inaudible] seems to be [inaudible] on this.
Rick Santa: Yes. I don’t think we want to get in to start providing separate top line guidance on the two business segment.
Avinash Kant – D.A. Davidson and Company: I see. I see. And then –
Rick Santa: But we do expect the growth on both sides of the business.
Avinash Kant – D.A. Davidson and Company: Also, looking at the full year guidance, is that feel like there’s going to be a significant drop [ph] from Q2 onwards or basically for the rest of the year. How should we think of the growth over the quarters? And I guess, should we think of sequential growth all through the rest of the year or one or two quarters could be much higher than the other, how should we think of it?
Rick Santa: I would say we all going to dig [ph] down on even this in a quarterly performance even when growth is more dramatic from what we expect in 2013 but I think that’s where the backlog stand [ph] at the end of year, the sequential growth scenario and the like we want [ph].
Yvon Cariou: Yes. I would certainly compare with that view, Avinash. We may book something [ph] larger projects but the [inaudible] even out in the shipments of those and the sequential view is probably the best, yes.
Avinash Kant – D.A. Davidson and Company: Maybe one more comment. What kind of bookings activity have you seen thus far in the quarter? We are pretty much two months into the quarter. Have you seen it improve from the previous quarters on rate or previous years on rate? What are you looking at right now?
Yvon Cariou: I would think it’s steady as it goes for Q1 as compared to where we were in the previous quarter. There was nothing significant enough that we would make separate announcements of some sort but as getting educated [ph], we’re working very often some similar [ph] larger projects and they are really hard to predict those international projects and life of their own. And we thought that, two months ago, we were done and where we are, it’s not done yet, so.
Avinash Kant – D.A. Davidson and Company: Yes, Yvon, but then your guidance that’s called for the meeting for up take over the next –
Yvon Cariou: Yes, and we believe in that and [inaudible] our provision sites are really resourceful and they are proven several times in the past years that they can step up to the place [ph] when needed so even if the bookings come a little behind, we think we can catch up the supply chain [inaudible] seems to be reasonably in good shape in there [ph] so – and those guidance we get.
Avinash Kant – D.A. Davidson and Company: So your guidance called for significant enough [ph] but should I think that you have not seen it yet in the explosion clad side or you are starting to see it?
Kevin Longe: I think it’s holding its own but we’ve got some near-term projects that could really change it dramatically.
Avinash Kant – D.A. Davidson and Company: Okay. Thank you.
Kevin Longe: But those projects haven’t – are hard to predict and that’s where you’re hearing that [inaudible], if you will.
Avinash Kant – D.A. Davidson and Company: Okay. Thank you so much.
Operator: Thank you. Our next question comes from the line of Phil Gibbs with KeyBanc Capital Markets. Please proceed with your question.
Phil Gibbs – KeyBanc Capital Markets: Yvon, Kevin, Rick, Geoff –
Geoff High: Hi, Phil. This is Geoff [ph].
Phil Gibbs – KeyBanc Capital Markets: How are you?
Yvon Cariou: Hey, Phil. Hi.
Kevin Longe: Fine, Phil. How are you?
Phil Gibbs – KeyBanc Capital Markets: Doing well, doing well. There’s a lot of things going on. You’ve got a lot of irons in the fire which comes I guess with a lot of responsibility because you don’t want to get too far ahead of yourself. How should we think about the next 12 months as far as order of operations on the execution side? What’s priority number one just because you mentioned those [inaudible] things that you thought you guys are working on?
Kevin Longe: Yes. And 2013 for us, Phil, is one where we’re focusing on executing and that means different things in the different businesses but each of our three businesses is really focusing on the fundamentals of what drives those businesses both in terms of the application and the product development as well as – and particularly on the oil field services of it getting value add of the investments we’ve made in SG&A and distribution. And we have two major capital and we’re right in the middle of two years back-to-back, ‘12 and ‘13 of significant capital investments and we want to get all three of our businesses generating significant deposit of cash flow by the end of the year and get these two major capital projects behind this. And so it goes from the capital projects on one hand for the inventories in line and getting the value added of distribution investments we’ve made and on a long-term basis for the organic growth. I’m a big believer in what we’re – I know Yvon is, in what we’re driving into the organization is product development, technology development and very sound [ph] product management principles for all three businesses.
Phil Gibbs – KeyBanc Capital Markets: Yes. How do we think about the CapEx, Rick, for this year and next?
Rick Santa: Yes. I think we’ve been indicating. We expect to grow $20 million in spending in 2012 and spending of the same [inaudible] in 2013. We expect less than the $20 million in 2012 but that relates the carry over on these two projects, so expect roughly $60 million in 2012 and would expect to be in the $25 million range for 2013.
Phil Gibbs – KeyBanc Capital Markets: Okay. And your guidance, the 8% to 10% growth, how much of that – not how much, but are you rearing [ph] in benefits from the shaped charge facility in Texas in the second half of ‘13?
Rick Santa: Yes, but not looked [ph] at. It’s minimal because it starts up to Q3 and it will take a while to get some full production levels.
Kevin Longe: And I think, Phil, that is impacted most favorably on the cost side of our business. We built that inventory to shaped charges in the US to address demand and so we’re not supply constraint at this point. And so really the demand for addressing through some our expansion activities into new geographical areas.
Phil Gibbs – KeyBanc Capital Markets: I guess like that proceed [ph] to another question. How should we think about inventories this year round, what was it, [inaudible] somewhere on $50 million – $48 million, is that heavy or is that where you want to be or is that some level you want to maintain?
Kevin Longe: Yes. I don’t have the numbers in front of me but the inventory is heavy from my perspective, too heavy.
Phil Gibbs – KeyBanc Capital Markets: Okay. So we should expect inventories to move down –
Kevin Longe: Yes.
Phil Gibbs – KeyBanc Capital Markets: Particularly as the shaped charge facility comes up?
Kevin Longe: Yes. And the increase in inventory is – and the turn of that inventory at slower rate is most pronounced in our oil field products or down [ph] in this [inaudible] and that’s where you’ll see a reduction driven by the construction of the two facilities but also management focus on executing and turning faster in general.
Phil Gibbs – KeyBanc Capital Markets: Okay. I appreciate all the color [ph] in this and I could just ask my standard question on the segment gross margins, Rick, just for the quarter would be great.
Rick Santa: Okay. For cladding, 26.3% in the quarter – fourth quarter of 2012 versus 23.4% in last year’s fourth quarter. Oil field products was at 37.7% in the fourth quarter of this year.
Phil Gibbs – KeyBanc Capital Markets: Any reason why that was so high, the 37.7%, is that sustainable?
Rick Santa: I’d like to think over time that’s a sustainable level. There’s a lot of product mix going on and there’s also a lot of intercompany activity where we captured some of the – we can’t capture all the profits [ph] that we sell the inventories this through a third party customer.
Phil Gibbs – KeyBanc Capital Markets: Okay.
Rick Santa: And it gets a little bit difficult to evaluate the final gross margin because of all intercompany sales activities which – but certainly, long-term, this would be – this would be a goal to be at that level.
Phil Gibbs – KeyBanc Capital Markets: Okay.
Kevin Longe: And you’ll see that [inaudible] we address the intercompany through the additional facilities and also bring inventory down.
Rick Santa: That 37.7% is up from 33.3% of last year’s fourth quarter. And then AMK was at 30.6% in the fourth quarter of 2012 versus 28.1% in the fourth quarter of 2011.
Phil Gibbs – KeyBanc Capital Markets: Excellent. Thank you very much and I guess good luck to Kevin and happy somewhat rest in crude line [ph].
Yvon Cariou: Thank you, Phil.
Rick Santa: Thank you, Phil.
Kevin Longe: Thanks, Phil.
Operator: Thank you. Our next question comes from the line of Dan Whalen with Topeka Capital Markets. Please proceed with your question.
Dan Whalen – Topeka Capital Markets: Hey, guys, how’s it going?
Yvon Cariou: Hey, Dan.
Kevin Longe: Dan, how are you?
Dan Whalen – Topeka Capital Markets: Good, good. In terms of some these larger scale order opportunities, my sense is that they’re pretty far along either in development stage or the maturization [ph] stage, just kind of given the pretty somewhat type range of given on the top line, is that kind of fair way to look at that? And then secondarily, how competitive is the pricing negotiation with the larger scale products and are the pricing gets a bit more competitive? If you could just kind of talk about the pricing landscape a little bit, too, that would be great.
Kevin Longe: A couple of these projects are well along and obviously because of the lead [ph] time issues for them to positively impact revenues this year in our clad business, we would – did have to move further down the pipeline so to speak. As I’m learning this business, there’s kind of a funny dynamic between some of the margins and as you have expect the larger projects and the sizes that tends to really have companies go after them aggressively because of what they could mean to the revenues. But kind of paradoxically, as they get larger, there’s fewer companies who can handle these projects –
Dan Whalen – Topeka Capital Markets: Sure.
Kevin Longe: And both from many aspects, sourcing materials, the surety of supply in production and the time table that have demand it and then the cost of quality because of the type of time tables and the materials that are involved. And so one of the things that I’ve come to marbled [ph] at this group as I’ve gotten to know them is that they really know how to balance those things and we don’t need practice doing this stuff. We’re not interested in trophy [ph] projects for trophy projects. And so they have pretty healthy focus on margins.
Dan Whalen – Topeka Capital Markets: Okay.
Yvon Cariou: Yes. Something like that [ph] that or the impact in pricing as always depends on what’s a competitive solution. As you know, we have very few explosion welder competitor out there for projects.
Dan Whalen – Topeka Capital Markets: Yes.
Yvon Cariou: And so when we do need to, however, get upfront in our [inaudible], you need to – that’s the way the talents that Kevin is alluding to are very important on both the supply chain side and how to read that project and to offer appropriate margin and price.
Dan Whalen – Topeka Capital Markets: Okay. All right, great. And then when we’re up just in some of your facilities, we learned about I guess a little bit of transition in strategies, so to speak, in some of your new appointments and historically, you guys has had a lot of success in legacy business, so to speak, but it seems like you’re becoming a bit more proactive from a marketing perspective to go beyond the legacy and get incremental new business, and I know it’s still a little early in terms of the process but if you can just maybe just talk a little bit about that and any early benefits you’re kind of seeing from that little transition.
Kevin Longe: Well, in the leverage if you will are slightly different depending on which business that we’re talking about. But we have an extremely well-run clad business that the focus there is on new application in cost development, not just pursuing projects but developing clad products such as transition joints that are used in a variety of industries. And I think that that’s probably a reviewed emphasis. Is that fair to say, Yvon?
Yvon Cariou: Yes.
Kevin Longe: From an organic standpoint, as well as China and Asia in general, geographical expansion for that business. In the Oilfield products or DYNAenergetics, wonderful technology, great strategy, great global thinking in terms of how they’re approaching that business. And the investments we’re making there are in geographical expansion also and to the America and South America in the near term. But also that business will benefit from the organization that we’re putting together in China, too. We’re really interested in maintaining and driving a product and technology leadership in that business. And I think we’re bringing more product management skills to a business that is growing rapidly and to really be a leader in their segment. And then on the AMK side of it it’s really account both the number and then penetrating some of the largest [inaudible] we deal within that industry. And we really want to have a strong balance of organic growth but on a long term basis, we also need to leverage the knowledge of the end-use markets that we’re serving as well as the geographical market. And really look at additional product and application opportunities in those markets and those would be areas that we probably look towards acquisitions. But right now, we need to get the cash that we’ve spent last year and this year working for us. Get all three businesses generating cash flow, significant cash flow and stay focus on that for the near term and then start thinking more strategically on a longer term basis on how to add to our portfolio businesses in the markets that we serve.
Dan Whalen – Topeka Capital Markets: That sounds great. You sound that you have some great plans ahead. And just lastly, Yvon, I just wanted to wish you the best in the next days. And also just genuinely congratulate you. You brought this company a long way over the years. So congratulations to your success on that front.
Yvon Cariou: All right, thank you very much and I appreciate that. I deal on [ph] and head it as much as they can going forward.
Dan Whalen – Topeka Capital Markets: [Inaudible].
Kevin Longe: Thanks.
Yvon Cariou: Thanks.
Operator: Thank you. (Operator Instructions). Thank you. Our next question comes from the line of Ed Marshall with Sidoti & Company. Please proceed with your question.
Ed Marshall – Sidoti & Company: Just a quick follow-up and I respect that you need to be somewhat conservative because some of your projects here along wended on the cladding side. And I know that can be finicky from the time of order placement or chatter to your side of the market and ultimately order placement, so I think that’s fair. But my questions as you said there were several projects out there that you were working on. And I’m curious, first, how much of those projects did you bake into your guidance for 2013 or is that upside to your potential sales guidance? And then secondly, are these orders domestic or they international?
Yvon Cariou: [Inaudible] was not quite, there’s really dimensional and some North America, which is a good thing. I think, secondly, not all of those baked into the guidance. Some of those definitely would be an addition. And that’s not new, that’s always been the case. We always doing these calls talk about rough projects and of course it’s exciting. But as of our business made of known lot [ph] projects or that gun business that’s still going on. And very often the lot [ph] project makes the swing of the very high quarter, not so high quarter, and we are always in the swing of things. We’ve been cautious, I think. And I think heaviness is already seeing that we need to be cautious on the lot of projects because they’re so hard to predict but if we don’t tell you anything, it’s not good either. So we were kind of always in between here. I don’t know how much more I can help you, Ed.
Ed Marshall – Sidoti & Company: No, I think that’s the right way we would like to see you characterized. They’re out there. They’re being touching the market and ultimately at some point they should be played [ph]. It’s just a matter of timing at this point and we don’t know, so why get your hopes out in other words, right? I mean, that’s what you’re saying.
Yvon Cariou: The one thing I want to say that we are not leaving any [inaudible] all projects of significance were there even the one where we think we don’t have a chance. So we call [inaudible] and they will happen and we don’t believe in a whole set of strategy, so we’re just working all these assets and I can see or knew Kevin with the team and the additions make of the team. They are going full blast, it will happen.
Ed Marshall – Sidoti & Company: You said something interesting in your remark that they’re mostly international and that’s a good thing, and it’s not domestic so to speak. Yet my senses that the chatter about the chemical build in North America really hasn’t shown up in the results yet and I think they’re still in the paying [ph] range so I wouldn’t expect they would. Is that what you are kind of alluding to?
Yvon Cariou: I was not alluding to that. I was alluding to the fact that it is good to have a mix of North America and rest of the world and it’s a little stronger or it is stronger on the rest of the world. The America, I think [inaudible] has not come full yet. Some of it, I think, we’ve touched on that in the last call. It’s not necessarily conversion [ph] process intensive. You know you have a lot about fully [inaudible] plant. It’s not our sweet spot. What we hope for, what we believe is the downstream of that there will be other chemicals to be produced that will be more relying on [inaudible] intensive practices, so we haven’t get quite get.
Ed Marshall – Sidoti & Company: All right. Kevin, as we switch leadership here just the task, I’m curious about you have plenty of growth slated ahead for you and I’m wondering if you could prioritize how you will allocate capital, how you will see we’ll allocate capital because there’s some organic growth capabilities here where you [inaudible] to pass these comments as needed, R&D projects which I think you spent a lot in R&D over the last year. And of course, I know we’ve talked in the past about acquisitions. Can you prioritize kind of how you look at, putting a capital work here as we move forward in 2013 and beyond?
Kevin Longe: Given sufficient growth or return of positive, economic return on the investments I much, much prefer organic versus acquisition. Having said that, I think that one of the things that we’re trying to drive into the businesses is for them to start competing for capital so that we can take the capital that we’re deploying and put it to the most effective return on capital. And that’s really a factor of choices and in some respect portfolio choices for where to make these investments. And the quickest thing for thing [ph] [inaudible] for us is the geographical expansion followed by the new application and product development followed by acquisition. And from an acquisition standpoint, it – that will move up on the priority list as it helps to accelerate in some of the markets that we’re in. I don’t know if that answers your question.
Ed Marshall – Sidoti & Company: Absolutely. Very good. Thank you.
Kevin Longe: Sure.
Operator: Thank you. Our next question comes from the line of Phil Gibbs of KeyBanc Capital Markets. Please proceed with your question.
Phil Gibbs – KeyBanc Capital Markets: Hey, guys. My last question here was just from the gross margins. The guidance is a bit tepid relative to where you finished last year. I think you said you guys do [ph] 29.6%, you’re guiding to 27% to 29%. I would think that that’s somewhat conservative given the cost benefits you’re looking from some of the oil field services and the fact that the margins are coming back up again at AMK. What’s the difference there? Are we conservative or are we looking at decent top line projects and Nobelclad with lower margins?
Rick Santa: Basically, the Nobelclad projects with lower margins are what we enjoyed in 2012.
Yvon Cariou: It was the product mix season [ph].
Rick Santa: Product mix [inaudible]. And in 2012, that [inaudible] one possible project where the customers supplied some very expensive cladding material so that boost the margins significantly in that order. We kept the dollar value of our margin the same but the revenue went down because they supplied the materials which brought up the gross margin.
Phil Gibbs – KeyBanc Capital Markets: Got you. Okay. That helps a lot. Thanks, guys
Operator: Gentlemen, we have no further questions at this time. I would like to turn the call back over to you for closing comments.
Kevin Longe: Okay. Well, first of all, thank you again for joining us for today’s call. However, before we go, I want to say thank you to you, Yvon. For the past 13 years, Yvon has worked to build DMC into a worldwide leader in this field and under his leadership, the company has achieved significant growth both with strong balance sheet and shown great resiliency as the global economic crisis made for challenges business conditions are part of that tenure [ph]. The opportunities we have today are a tribute to what Yvon and this team has built. Although he retire for CEO on Friday, he will remain active in the company from his position on the board and he and I will continue to collaborate on growing the company and enhancing shareholder values. I hope that he will also find time to enjoy his retirement and hopefully, by the boat [ph], you’ve been thinking of. So Yvon, thank you, and to the rest of you, I look forward to speaking again after the first quarter.
Operator: Thank you. This concludes today’s –
Yvon Cariou: [Inaudible].
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.